Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Veeva Systems Fiscal 2023 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Ato Garrett, Senior Director of Investor Relations, you may begin your conference.
Ato Garrett: Good afternoon, and welcome to Veeva's fiscal 2023 first quarter earnings conference call for the quarter ended April 30, 2022. As a reminder, we posted prepared remarks on Veeva's Investor Relations website just after 1 PM Pacific today. We hope you've had a chance to read them before the call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer; Paul Shawah, EVP, Commercial Strategy; and Brent Bowman, our Chief Financial Officer. During this call, we may make forward-looking statements regarding trends, our strategies and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-K. Forward-looking statements made during this call are being made as of today, June 1, 2022, based on the facts available to us today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. Our reconciliation to comparable GAAP metrics can be found in today's earnings release and in the supplemental investor presentation, both of which are available on our website. With that, thank you for joining us, and I will turn the call over to Peter.
Peter Gassner: Thank you, Ato, and welcome to everyone on the call. It was a great start to the year for Veeva, with strong first quarter results above our guidance. We also crossed the $2 billion revenue run rate mark for the first time. Total revenue was up 16% to $505 million, and subscription revenue was up 18% to $403 million. Non-GAAP operating income was $200 million or 40% of total revenue. Things are going well. Demand is strong, as customers look to establish the right digital foundations for the future, and our industry partnerships continue to get more strategic. We're executing well against our long-term plans, and our innovation engine is really firing on all cylinders. We're building a very durable business, with a long runway of growth ahead. At this point, we'll open up the call to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Brent Bracelin with Piper Sandler. Your line is open.
Brent Bracelin: Good afternoon. I guess, Peter, Veeva closed one of the largest deals in the history of the company here, arguably in a macro environment where there's clear challenges. Could you just drill down into kind of the decision for that customer to kind of go all in on Veeva on the clinical side? It looks like a very large comprehensive deal. Just trying to better understand why a top 20 pharma would make this move in an environment where there's still some pretty significant challenges out there.
Peter Gassner: Yes. It's a great question. This is really a long-term thinking move by the customer. They – thinking of this in 10 and 20-year horizon, so they wouldn't be really phased by specifics of the macro environment. So, this is about, yes, applications in the clinical area, but also in the quality and the regulatory area, not all of our development cloud, but a big portion of it.  So, when they're doing that, it's a very top-down decision. It's like building a huge factory. That's why it's not affected by the macro environment. And then if you get it, what they're trying to do, it's laying the foundation for efficiency, digital efficiency, getting drugs to market faster to help patients, so long-term play by the customer and sort of executive level decision.
Brent Bracelin: Helpful. And then just a quick follow-up for Brent here. As you think about capital allocation, the company is generating a significant amount of free cash flow here, a strong balance sheet. How are you thinking about shareholder allocation, capital allocation just given the very strong cash assets you have and strong free cash flow? Thanks.
Brent Bowman: Yes. Thanks for the question, Brent. Yes. So we do have $2.8 billion in cash and our business model has consistently been able to generate cash. So, we're very pleased with that. And our focus is primarily to invest for growth. And specifically, we're going to be looking at ways like M&A to – for use of our cash, right? But we're going to take a disciplined approach as we look at M&A. And we have had some very good successes like Crossix and Zinc, where we have good synergistical connection with them from a technology, but also from a people perspective. So, M&A is an area that we're looking at for a use of cash and -- but we'll take a disciplined approach about that.
Brent Bracelin: That’s all I had. Thank you.
Operator: Your next question comes from the line of Joe Vruwink with Baird. Your line is open. 
Joe Vruwink: Great. Hi everyone. I was maybe just hoping to start by walking through some of the moving pieces, the forecast for the year now versus what was presented a quarter ago. And maybe split out organically, what's changed versus – certainly FX is in there. And then anything else you would call out particularly as it relates to your hiring plans and how that is influencing the view into the second half of the year?
Brent Bowman: Yes. Thanks, Joe. It's Brent. Yes. So first off, we're pleased with our execution in Q1. We executed extremely well across all of our metrics. And as if you look out at the full year, we did increase our total revenue guide by about $5 million now specifically to services. We did call out FX exposure. Traditionally, FX is not material to Veeva. But with the strengthening of the dollar, the USD relative specifically and most importantly to euro as well as the yen, it has had an impact. So, it's about a $20 million impact.  And more than half of that on the revenue line was created in the last 90 days. So that's a new piece of information and that was $30 million on the billings line. So absent that FX impact, we would have increased our subscription revenue line for the full year and our total billings for the full year. So that kind of gives you some context on the topline.  Regarding hiring, we have an outstanding hiring quarter. We hired 203 net employees. That's another quarter of 20-plus percent growth and in doing that, we were able to still increase our operating income guide for the full year by $10 million. So you can see the operational efficiency we're seeing in our fundamental model and how that flows through to op income. So demand overall is strong. We're excited about the demand profile we're seeing. And that kind of gives you -- informs you a bit on our full year view.
Joe Vruwink: Okay. Thanks, Brent. That's helpful. And then, more on product traction. I wanted to focus on eTMF, because it looks like it actually picked up momentum sequentially just based on the new customer adds. And I seem to recall that CTMS was already setting up for a big year. So I kind of think about eTMF as maybe a feeder for broader clinical engagement, ultimately. I guess, if both ends of the spectrum are doing well, maybe where -- what inning, to use an analogy, might we be in, in terms of penetration of the clinical opportunity and just how impactful that could be for R&D this year?
Peter Gassner: Yes. Clinical is certainly a long runway. It's a very big area of life sciences. eTMF, I think we sold our first customer roughly in 2012, and it takes a while to really become the dominant player. And we're there now with eTMF, and there's a network of -- a network effect. eTMF is just the thing you do in clinical. Probably the next furthest along is our CTMS and study start-up products. They’re getting to be pretty dominant products. And then the clinical data management is yet to come. That's very early in its life cycle, CDMS, the clinical data management. And beyond that, you have the digital trials, the MyVeeva for Patients, things right out to the patients. So, really long runway of growth in clinical. It's a big critical area. And macro level, we're just getting started there. And you're right, eTMF is a very strong base, because that's the foundational system of record of documentation for a clinical trial that every pharmaceutical company is required to have.
Joe Vruwink: Great. Thank you very much.
Operator: Your next question comes from the line of Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Hi, gentlemen. Thanks for taking the question. So I just want to follow up on Brent's line of questioning. In terms of these large wins with multiple products, I'm curious, as we think about the later-stage pipeline, how many potential products are they looking at? Is it suite adoption across the board, or how do we think about attach rates and deal sizes for what's in a later-stage pipeline?
Peter Gassner: Well, it'll vary by customer. Now there's very few of the large pharma that are going to take that very broad suite approach, simply because of the fact that many of the large pharma are started in one way area or another with Veeva. So I think the most common in large pharma would be looking at a suite of things and then starting in the area of that suite and then graduating from there. In the smaller pharma or the emerging biotech, it's more common to look at the whole development cloud all at once and sort of know that, that's the direction you're going, but you'll consume products as you need them. So, for example, the earliest thing you need in the small biotech is probably our quality products, because you need that even before you run a clinical trial.
Brian Peterson: Great. And maybe just a follow-up on hiring. It sounds like you're continuing to add to the team. We've heard from some other software companies that maybe they're scaling back those efforts a little bit. As you think about the investments that you're making and the growth opportunities, how are you thinking about hiring in that posture going forward?
Peter Gassner: Yes. Hiring, we always want to attract the top talent that has a great, what we call a why Veeva, an authentic reason to be at Veeva, and that's always going to be tough. Right now, the hiring environment is tough, but not as tough as it was before because there's a bit of downturn in the tech market, especially in the early phase of the tech market, sort of speculative start-ups. People feel that, and so there's a flight to quality. So, hiring has been a bit easier for us. So, in summary, I'd say it's a good hiring environment, and we certainly don't have any hiring freeze.
Brian Peterson: Thank you.
Operator: Your next question comes from the line of Dylan Becker with William Blair. Your line is open.
Dylan Becker: Yeah, hey guys. Thanks for taking the question. Maybe, Peter, one for you. As we talk about that large-scale deal, historically, maybe there were different purchasing decisions between sales and marketing and R&D teams. But can you walk through maybe how the broader standardization converges these swim lanes to that executive level that you just kind of touched on and the confidence that you have, given that you've served as that industry strategic partner for potentially more of these deals to kind of work themselves through the pipeline in coming quarters and years?
Peter Gassner: Yes. It's -- we have a broader product portfolio that allows us to be closer to the customer, have more strategic discussions, have more account partner coverage because we have a broader product portfolio. So, it does tend to force the discussion up a level. Now rarely do we see the discussion combined across the commercial side of the business and the R&D side of the business because those are viewed quite differently. More so, what we see is across the different areas of R&D, clinical, quality, regulatory, we see that crossing and across the different areas in the commercial area, sales, medical marketing, that's where we see the crossing happening. I would say another significant area where we see crossing – just the early signs of crossing is our business evolved – started out from the software side. It's really growing now. It's starting to grow into the data side and then the consulting side.  So that crossing is happening, looking at our software or also looking at our data. Hey, I heard something about the data, maybe it's time to evaluate that software. Hey, maybe we help -- need some help with the business processes. So that's where early view, that's where the crossing, I think, is to happen in the future.
Dylan Becker: Yes. That's super helpful. Thanks for the color there. And maybe that kind of leads into the second one for Paul. We talked, I think, about maybe the broader rollout of prescriber and sales data for Data Cloud this quarter and next, now culminating that with Link and OpenData to form this data cloud offering. And it's early, right? But how do you think about each of these incremental layers adding to that broader network dynamic driving maybe even like a gravitational pull around adoption as you add more sources, more touch points to that core data asset that can refine itself and deliver greater value over time as well? Thanks guys.
Paul Shawah: Yes. So, it's a good question. And we are expanding our data portfolio, as you've seen over the last several years, starting with OpenData and then Link. We've had a lot of momentum. We announced Compass. It's called Data Cloud initially, and now the branding is Compass, which is our patient and prescriber and sales data. These data sets are for different purposes and different reasons, but there is a network effect. There is value when you can connect all of these data sets together. And we talk about building our data sets on a common data architecture. And what that means is, they're fundamentally connected at a lower level, at a more foundational level. And what that means for our customers is they're able to get more value when they start pulling all of the pieces together. So it's on us to sell the value of each of those products individually, but our customers get more value over the long term when they combine our data, each individual data products with other data products, but also with our software. We designed them to be interoperable and work together and create more value. So there is, in a sense, a network effect, this idea that more products is more valuable than the sum of each of the individual pieces.
Dylan Becker: Great. Thanks, guys. Appreciate the time.
Operator: Your next question comes from the line of Rishi Jaluria with RBC Capital Markets. Your line is open.
Rishi Jaluria: Wonderful. Hey, guys. Thanks so much for taking my questions. First, I wanted to maybe drill a little bit more into the macro side of things. It looks like things are pretty resilient on your front, which is great to see, but also I think you expected just given the end market you're dealing with. Can you talk a little bit about maybe are there any areas that you are seeing softness at all? I mean, we have heard about biotech funding slowing down. Some CROs are slowing down, their hiring that they've talked about publicly. And then maybe on the med tech side of the business, any kind of macro things there? Maybe help us understand those pieces. And then I have a follow-up.
Peter Gassner: Hi, Rishi, this is Peter. Really, we're not seeing the macro effects in any particular segment. Life sciences industry overall is pretty robust, right? It's not a cyclical industry, and the science is propelling it forward. The precision medicine, the renewed focus on vaccine, the RNA platforms. So the science is propelling it forward. So I'm not -- and now as far as med tech also, the science is moving things forward in med tech as well. In addition to the regulatory environment in med tech is becoming more stringent. There's more regulatory requirements, especially in the clinical area. So that's driving adoption. So not seeing any softness.
Rishi Jaluria: All right. Wonderful. And then, Peter, in your prepared remarks, you talked about some of the success that you're seeing from having the in-person conferences again and, arguably, how it's maybe more important than before with everyone working remotely. Can you talk to us a little bit about what has just been the general customer feedback off your first in-person conference in, I guess, more than two years? And more importantly, as these conferences come back and you start to extend those two-day conferences, what sort of impact do you expect? Is that something that more customers will start to think strategically about going all-in on Veeva? Is it just from a networking perspective, what sort of kind of benefits do you expect to see now that we're back to in-person conferences, for you guys from a business perspective? Thanks.
Peter Gassner: Yes. Just the overall speed of business in the long term, connectivity, relationship building, knowledge sharing, the position that Veeva has as the place where you get together in person, yes, to learn about Veeva, that's one thing, but also to -- oftentimes, we have customers meeting their far-flung teams together in-person at the first time at a Veeva Summit. So they may extend a day and do their own planning meetings, and that's something we facilitate and participate in. So that's really what it means. It moves business forward. Summits have always been a key part of our industry cloud, always been a key part. And in-person, it's hard to replicate on the phone. One of the things we've done is we're going to optimize – we are optimizing the format going forward, so that it's more free time for connections actually. So, we will record some of the sessions, so you can see them before or after. And at the summit, yes, we'll have sessions, but more free time for connections because that's what customers are creating. I think that's going to help the industry move forward.
Q – Rishi Jaluria: Wonderful. Thank you so much.
Operator: Your next question comes from the line of Saket Kalia with Barclays. Your line is open. 
Saket Kalia: Okay, great. Hey guys. Thanks for taking my questions here. Peter, maybe for you. A lot of talk about Data Cloud in the prepared comments. Can you just talk a little bit about early reception to Data Cloud? And maybe more specifically, how much appetite is there out there for alternative product in – or alternative data, I should say, in spaces like prescription, for example?
Peter Gassner: Yes. Great question. It's definitely early adopter for Data Cloud and specifically in the area of Compass, the Compass part of Data Cloud because there's been a vendor there -- a company there that sort of set the standard and it's just the way you do it, and that's for literally more than 20 years. So, people have just gotten become accustomed to that. So, it'll take a while before the first customers really have success, before we refine our products and before people see that, wow, there's a fundamentally different way to do this.  Instead of selling data by the record and delivering it in a file, you'll sell it by the use case – unlimited data by the use case and deliver it through software. So that's a -- that's different. And that's the definition of an early adopter who's going to understand that, lean into that change and that it'll be a small part of the market that wants to go that early adopter than when the value proposition is proved out, and you can start moving into the mainstream. So, it's actually happening just like we thought it would happen.
Saket Kalia: That's great. Good to hear. Paul, maybe for you. Maybe just digging into the commercial side, a little bit more, particularly the CRM side. How has churn looked there? And what are you hearing from commercial customers on how they're thinking about their sales forces long term? Does that make sense?
Paul Shawah: It does, yes. So, on the attrition side, first, we had a really strong quarter in CRM. We added 12 customers. We increased our share again in the quarter. So another really strong quarter. The – there was some churn and some attrition, which is what we expected. It was in line with what we had anticipated and planned for and was offset from a user perspective, a seat perspective, it was more than offset by the expansions that we had. You probably heard Peter talk about the wins in the domestic Japanese market, largely offset any churn and any attrition.  The – I think the second part of your question is, how are companies thinking about their sales forces long term. This is the -- it's one of the most effective, if not the most effective channel to the market and the sales teams sales forces work. So, most companies are thinking on the margins, how do they tweak? How do they gain a little additional productivity and efficiency? How do they become more digital? What's the optimal mix look like? But fundamentally, the sales force is a really critical channel, particularly as many of our customers are more focused on highly specialized medicines. You just need that human being and that human relationship to educate and bring those medicines to market effectively. So really strategic and important channel. And I think we'll see over the -- through the rest of this year some tweaking on the margins, but the -- but it's certainly a strong and important channel for the industry.
Saket Kalia: Very helpful. Thanks guys.
Operator: Your next question comes from the line of Stephanie Davis with SVB Securities. Your line is open.
Stephanie Davis: Hi, guys. Thank you for taking my questions. Congrats on a solid quarter. Could you give us an update on some of your hiring processes, because you did say in your prepared remarks that another strong hiring quarter? And, if so, has it had any impact to sales like you mentioned last quarter? Is there any way to tease out the impact of billings timing or rev rec as a result?
Brent Bowman: Yes. So on your question -- Stephanie, hi, it's Brent. So our plans were to hiring at the pace we are. We have, like I said, a strong Q1 hiring quarter with about net 203 people. And from our ability to execute on revenue billings, we have the capacity to deliver our guide. So we feel really good about our ability to deliver on the guide and the headcount we're bringing on board and how they're ramping up. So we feel really good about that.
Stephanie Davis: And another quick one for you, Brent. Could you help us understand the large wins flow through to billings? Like, should we think of this as being built all at once, or is it going to give a halo effect to further quarters beyond 1Q?
Brent Bowman: Yes. So the large deal we talked about earlier, we're really excited about that. Most importantly, on that deal is -- it's a great proof case -- proof point for the operating system for development. Now, we're not going to get into the specifics of how any one transaction is accounted for, because we’re very focused on customer success. And no one deal is the same. So it has been factored into our guidance. When we set guidance, we look at the pipe that's in front of us, we look at the actuals, we look at the macroeconomic environment. So it's all been factored in.
Stephanie Davis: That’s very helpful. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Ryan MacDonald with Needham. Your line is open.
Ryan MacDonald: Hi. Thanks for taking my question. And congrats on a great quarter. Peter, I wanted to follow up on the large customer win. And you talked about sort of the decision was being made with 10 to 20-year increments despite, obviously -- so essentially ignoring sort of near-term macro impact. I'm curious, though, as you think about implementations and project work, are you seeing any changes in sort of the pace of which those large deals that you win are getting implemented, given what we're seeing from a macro perspective?
Peter Gassner: Yes. Ryan, good question. No, we're not, really. I think what's happening -- there was some disruption six months ago, I would say, COVID hitting, Omicron, COVID fatigue, early inflation worries, things like that, the holidays. We're not seeing that, and that hit Veeva and our customers. We're not seeing that type of slowdown anymore. Customers have -- they've -- it generally feels like they've weathered the COVID storm, which you got to remember, that was really something for life sciences, right? That was really something, disrupted their product plans, et cetera. And then we had hiring, and then we had inflation. It kind of comes through that now. So no, I don't see those same dynamics.
Ryan MacDonald: Thanks for the clarification. Brent, maybe a follow-up for you. A question we're getting a lot in almost every investor meeting is, obviously, given the state of the market and valuations coming down, question is around share-based compensation and how we should think that's trending throughout fiscal '23. We noticed obviously compared to fourth quarter, number was up slightly or maybe more so than we seasonally expected. Can you just remind us on how you're thinking about share-based compensation for 2023?
Brent Bowman: Yes. I mean share-based compensation is a key portion of our overall compensation philosophy, if you think about our base salary and then kind of the overall equity portion of the balance. So, it's an area that we are reflected. It's been reflected into our guide. And it's an instrument that we think is important from a retention perspective and from an employee success perspective. So, it is definitely a lever that we use to drive a fair overall compensation structure for employee success.
Ryan MacDonald: Thanks.
Operator: Your next question comes from the line of Kirk Materne with Evercore ISI. Please go ahead.
Unidentified Analyst: This is Adi [ph] on for Kirk. Thanks for taking the question. Just wanted to ask a little bit of a follow-up on the FX stuff. Obviously, you said there's the headwind, but can you talk a little bit about what you're seeing specifically in the pipeline that kind of gives you the confidence for taking that in the guide, whether that's just larger dealers meet just like kind of across the board? And then the second question is just -- yes. Sorry. Go ahead.
Brent Bowman: Yes. No, go ahead. You have to two parts. I'm sorry, I thought it is one-part question. Go ahead.
Unidentified Analyst: Yes. Second part was just about -- you had a really strong start with billings this quarter. Why not raise it going forward? Is there -- and also is there like any FX impact on billings outside just that revenue component? Thanks.
Brent Bowman: Yes. Yes. Happy to answer that. So just kind of a step back to sort of a level set on the FX impact. So overall, we're happy with the strength of the business. Now the FX impact was, on a full year basis, was $20 million on revenue, and it was $30 million on billings. So that's a headwind on both of those line items. Overall, on an op income perspective, there's kind of a natural hedge with our cost structure relative to revenue in foreign currency. So, it's minimal to no impact on the op income basis. So important to kind of level set on that. The other piece that’s important that is, more than half of that FX headwind was created in the last 90 days. So as a result, we were -- that impacted our ability to increase the full year guide for both subs revenue as well as total billings. Absenteeism we would have increased our guide for those two numbers.  You also asked what gives me confidence in the guide for the year. So, we do expect for slight revenue acceleration in the back half of the year. And why do we have confidence in that? We have confidence in that because we do have good visibility to the deal flow for the year. We are a strategic partner to a critical industry. And our software and solutions are serving the need of their critical business processes. So, this isn't a transactional business that we manage on a quarter-to-quarter basis. So because of that, we have good visibility. So with that, we have confidence on the full year guide.
Unidentified Analyst: Awesome. Thank you.
Brent Bowman: Thank you.
Operator: Your next question comes from the line of Ryan Bressner with Morgan Stanley. Your line open.
Ryan Bressner: Hi. Thanks for taking my question. I found your disclosure on P&E being 1.5% in FY 2023 versus 3% pre-COVID listing [ph]. Do you expect P&E to remain near as level moving forward? And is that becoming a broader trend in the pharma industry? Trying to think about it in the sense of the bigger picture discussion on the change role of pharma reps and how this could maybe imply, how the industry is evolving and what tools need to kind of adapt to this hybrid environment moving forward.
Peter Gassner: Okay. So I think it's kind of a two-part question here. Brent, why don't you take the first one as to our internal? And then, Paul, you can take the second one on the industry because those are actually two different things.
Brent Bowman: Yes. So let me kick that off. Yes. So you're right, as we have been highlighting, we expected spending, travel and -- the spending to come back in and be a bit of a headwind to op income in fiscal year 2023. And that has happened. So we're at about 1.5% of revenue. We're about 0.5% of revenue in fiscal year 2022. That's a good thing. Why is that a good thing? Because, as Peter mentioned, with the excitement we had with in-person events, with the Commercial Summit we have last week, that's a great example. The other piece to think about is we're a work-anywhere company. And what is really important, and we've gotten that right from day one as we've been consistent. So -- but with that, connecting is really important. So we expect different functional groups to travel to stay connected, and that's all going to be part of the equation. Now looking out, where could this be? It's early, right? Where this ultimately lands is to be determined. But for the guide for the year, we expect the travel and events to accelerate a bit through the course of the year. That's our expectations for now.
Paul Shawah: There was a second part. And Ryan, can you repeat the second part of the question again, just so I'm answering the right question.
Ryan Bressner: Sure. I guess, the second part was just on, what this might imply in the industry, as it’s continuing across all pharma, for a changing role of pharma reps and how maybe the broader selling model in the industry is changing, what that means for headcount and technology.
Paul Shawah: Yes. What it means? So we've talked about some of the shift that's happening in the industry where the issue is, becoming a little bit more efficient. They're increasing their mix of digital into the sales force. So that's one impact that's changing. That's creating a little bit of an opportunity for companies where they become more productive. They're able to do more with less, and we're seeing that play out. We've been talking about that for some time. I think the other impact that we're seeing -- so that will have an impact on overall headcount, particularly on the field sales force. But there are other rules beyond just the sales reps. One example are medical -- like, field medical teams. These are the more high science type people who call on doctors or thought leaders and scientific experts. That's one example of a different kind of role. Many companies are thinking about different roles in the field. Medical is a one good example. And some of those are actually increasing. So the role of medical is becoming more important over time. We're seeing other kinds of roles emerge in the commercial and in the medical side. So there's -- in some cases, there's some reductions. In other cases, there's increases. And we've kind of talked about that overall sizing for some time now. Yes. So we see the kind of the size and the shape shifting just a little bit, and we're happy to be part of helping the industry to be able to kind of make those adjustments and become more productive.
Ryan Bressner: Very helpful. Thank you.
Operator: There are no further questions at this time. I'll turn the call back to CEO, Peter Gassner, for closing remarks.
Peter Gassner: Thank you, everyone, for joining the call today and thank you to our customers for your continued partnership and to the Veeva team for your outstanding work in the quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.